Operator: My name is Breanna. I will be your conference operator today. At this time, I would like to welcome everyone to the Donegal Group Inc.'s Q3 2015 Earnings Conference Call. [Operator Instructions]. Thank you. Jeff Miller, Chief Financial Officer, you may begin your conference.
Jeff Miller: Good morning and welcome to the Donegal Group conference call for the third quarter ended September 30, 2015. As introduced, I'm Jeff Miller, Chief Financial Officer and I will begin today's call with an overview of our quarterly financial results. Kevin Burke, President and Chief Executive Officer, will then provide additional perspective on the quarter and provide an update on our current business developments. Don Nikolaus, Chairman, will follow up with his comments on the quarter before we open the line for questions. You should be aware that certain statements made in our news release and in this conference call are forward-looking in nature and involve a number of risks and uncertainties. Please refer to our news release for more information about forward-looking statements. Further information on risk factors that could cause actual results to differ materially from those projected in the forward-looking statements is available in the report on Form 10-K that we submitted to the SEC. You can find a copy of our Form 10-K in the Investors section of our website under the SEC Filings link. Further, reconciliation of non-GAAP information, as required by SEC regulation G, was provided in our news release which is also available in the Investors section of our website. Turning to our results for the third quarter, we were generally pleased with our core underwriting profitability, but a higher level of weather-related losses kept us from achieving net and operating income comparable to the third quarter of 2014. Net income was $5.7 million or $0.21 per share of our class common A stock, compared to $8.7 million or $0.33 for class A share, for the prior-year quarter. Our net premiums written grew by 7.5% for the quarter. That growth was primarily from commercial lines new business and the planned elimination of Michigan Insurance Company's external quota share reinsurance which accounted for $4.6 million or 3.1%, third-quarter premium growth. Kevin will provide additional details on the drivers of our premium growth during his prepared remarks. Weather losses were the biggest factor in the increase in our third-quarter statutory loss ratio to 66.6%, up from 63.6% for the prior-year quarter. The $14.6 million of weather losses in the quarter were up from $10.9 million in last year's third quarter and were higher than our $10.8 million average for third-quarter weather losses over the past five years. We did not incur losses from any designated cat events that exceeded our reinsurance retentions during the quarter, but we did receive claims from numerous storm systems that impacted several of our operating regions. For example, in early August, we incurred approximately $2.5 million of wind and hail losses from a storm system that swept through the states of Wisconsin and Michigan. As for large fire losses, in total, the impact on our third-quarter loss ratio was unchanged year over year. Fire losses totaled $6.8 million in this year's third quarter, slightly higher than the $6.3 million in the 2014 third quarter but close to our $7 million quarterly average over the past two years. There was a lower volume of large commercial fire losses in the current quarter, but an increase in large homeowners fire losses. This increase, along with the elevated storm losses, drove an overall increase in our homeowners combined ratio during the quarter. Our personal automobile line of business generated a 98.8% combined ratio, but the homeowners loss activity led to an increase in our personal lines combined ratio to 101.4% for the quarter, up from the favorable 95.2% personal lines combined ratio for the third quarter of 2014. Our commercial lines combined ratio improved to 92% for the third quarter, even better than the 94.4% combined ratio for the prior-year quarter. Premium rate increases and the lower incidence of large fire losses drove the improvement. Prior-accident-year loss reserve development added $1.5 million to our incurred losses for the quarter, compared to $2 million for the third quarter of 2014. The 2015 development was primarily related to accident-year 2014 losses in our commercial multi-peril and commercial automobile lines of business, offset by favorable development in Worker's Compensation reserves for accident-years 2014 and 2013. For the first nine months of 2015, net reserve development of $4.8 million remains within a range we consider reasonable, adding only 1.1 percentage points to our loss ratio. Moving to the investment portfolio, net investment income increased 25.6% for the quarter, reflecting both an increase in average invested assets during the year and a lower allocation of expenses to our investment operations. We continued to reinvest proceeds from bond calls and maturities to enhance investment income while maintaining a relatively short duration in our portfolio. At September 30, duration was 4.4 years. Our book value per share increased to $15.76 at September 30, 2015, compared to $15.40 at year-end 2014, with the increase resulting from our positive year-to-date earnings, offset partially by cash dividend payments and lower unrealized gains on our available for-sale bond and equity portfolios. Our Board of Directors recently approved quarterly cash dividends of $0.135 per share of class A common stock and $0.1175 per share of class B common stock, payable November 16 to stockholders of record as of November 2. Finally, we did not repurchase any shares of class A common stock during the third quarter. I will now turn the call over to Kevin for his comments on the quarter.
Kevin Burke: Thank you, Jeff. Good morning, everyone. As Jeff indicated, we're pleased with the continued growth and profitable results we achieved for the third quarter, as well as for the first nine months of 2015. Our net premiums written growth for the third quarter represented a combination of 12.4% growth in Commercial Lines and 4.3% in Personal Lines. Our focus on our long-term business goals, commitment to sound underwriting discipline and strong relationship with our independent agents are driving these positive results. While we want to ensure we maintain our competitive position within the marketplace, we routinely review rate indications and market data to maintain our focus on rate adequacy and quality underwriting which are vital in achieving our target of profitability levels in both Commercial Lines and Personal Lines. Over the past several years, the planned incremental reductions in Michigan's external quarter share reinsurance have provided acquisition growth that has complemented our organic growth initiatives. I will offer some additional color on our commercial and personalized underwriting, as well as touch upon our agency distribution system and provide a brief update on our technology initiatives. The Commercial Lines segment of our business continued to perform very well in the third quarter. And, for the first nine months, we're pleased to be achieving healthy profitability in our Commercial Lines business with our retention levels remaining in the mid-80% range. In Commercial Lines, renewal premium increases during the third quarter generally ranged from 4% to 5%. While we're continuing to see opportunities to obtain renewal premium increases, we have experienced increased competition for larger quality accounts. As Jeff noted, weather-related losses in the third quarter of 2015 impacted the Personal Lines segment of our business. We have implemented and will continue to file rate increases where appropriate. We will continue to expand our utilization of predictive modeling tools to refine our Personal Lines pricing and underwriting tier criteria. To give you a sense of recent rate filing activity in Personal Lines, we continue to file rate increases in homeowners in the 3% to 5% range, depending upon the state and subsidiary. Rate increases in personal automobile ranged in the low-single digits, depending upon the state and subsidiary. Turning to our marketing efforts, I want to highlight the continued expansion of our independent agency distribution system. In the third quarter, we appointed 22 new agencies throughout the regions in which we operate. Year to date, we have appointed 65 new agencies and we're excited about the potential quality growth opportunities these additional agencies represent. This year's appointments continued the emphasis we're placing on appointing agents that have a Commercial Lines focus. This ongoing initiative has contributed to the increase in Commercial Lines premium growth over the past several years. It is our expectation that the new agencies will continue to represent additional growth opportunities. We also continue to emphasize growth and development within our existing agencies, working diligently to earn their increased loyalty and commitment to us. Finally, I would like to spend a few minutes discussing technology enhancements Donegal implemented recently as part of our ongoing commitment to leverage best-in-class technology to enhance ease of doing business for our agents and policy holders. We recently went live with our new billing system in several states. The new billing system replaces our legacy system and will provide flexible billing and payment-plan options, along with a new look to our billing forms that are easier to read. We're excited about the enhancements the new billing system represents and continue to receive favorable responses from our policyholders. On last quarter's call, I mentioned the launch of a significant upgrade to our WriteBiz system -- our new WriteBiz 2.0. WriteBiz is Donegal's web-based portal for quoting and underwriting our Commercial Lines business. We're pleased to report the continued positive response to WriteBiz 2.0. Depending upon the class of business, we have seen anywhere between a 10% to 40% increase in quote and policy issuance in agencies using the new system. We believe this is supporting our Commercial Lines growth and we're optimistic that this trend will continue, as our agents truly are embracing WriteBiz 2.0. Implementation of Donegal's new policy-rating engine is currently underway and a full rollout will be completed during 2016. The new rating engine allows greater speed to market, with product variations along with increased flexibility in how we rate various products. As a strong regional carrier, it is important that we have the ability to bring products to market quickly and to be nimble and to react to market trends. We're also enhancing our current policyholder mobile app to include greater functionality for our independent agents. Agents will be able to make a payment; submit a claim on behalf of their insured; view agency reports; receive product information; view/print e-mail policy forms and other documents, such as policy ID cards. Donegal will be one of the few carriers offering this functionality to the independent agents when the new mobile app is launched in the coming weeks. At this point, I will turn the call over to Don Nikolaus before we open the lines for questions.
Don Nikolaus: Thank you, Kevin. Good morning, everyone. Welcome to our call. My comments will be a little bit of a summary. Our underwriting results for the third quarter and year-to-date 2015, in our opinion, clearly benefited from the various business strategies we have employed over recent years, as did our investment results. And we believe Donegal Group will continue to benefit from this strategy going forward. As Jeff would have highlighted in his report, net premiums written increased by 7.5%; Commercial Lines, a combined ratio of 92%; Worker's Comp which is low, is about 80% in the combined ratio. Investment income increased by 25.6% and book value has increased to $15.76. So, clearly, we have made progress in those areas. And, as we have stated before, some of our strategic priorities clearly are, rate adequacy; conservative underwriting; state-of-the-art technology; predictive analytics -- and we have engaged Deloitte to work with us on a number of additional products because we believe very strongly in the use of data; and geographic and profitable product focus. We think our results are trending positive and we're anticipating increased profitability going forward, assuming no major number of catastrophes that might occur. So, Jeff, I will turn it back to you.
Jeff Miller: Thank you, Don. Breanna, if we could open the lines for questions, please.
Operator: [Operator Instructions]. Your first question comes from the line of Meyer Shields with KBW. Your line is open.
Meyer Shields: Kevin, I was hoping you could talk a little bit about how many agents are now using WriteBiz and how that penetration process is going.
Kevin Burke: I just was in Michigan, in our regions. We did agency meetings. And so for the last three days, myself and the Michigan management team, met with 150 agents. We rolled out WriteBiz 2.0 in early June. So for the first 60 days, you kind of look at that and you say, the increased activity in WriteBiz 2.0, is it based on the fact that it is just a new system and there is some intrigue? Or is that, in fact, delivering some increased policy issuance as well as quotes? I think the last three days was very indicative of how well WriteBiz is being received. The Michigan meetings dealing with -- working with those agents, many of them have looked at that and said that there is really some increased efficiencies. It is easier to use. We have incorporated much of the feedback. I don't have any specific number. I will tell you that it has been rolled out across our regions. Every week, we continue to see more and more activity with the agents embracing that system. And so, since it has been deployed and again, it has only been a few months, I felt the need, in this quarterly report, to give you an update that the numbers are very positive and so we're continuing to see that, not only the quotes, but the policy issuance in several classes of business.
Meyer Shields: If I can switch topics briefly, any update on what the M&A pipeline looks like?
Kevin Burke: We have had some opportunities presented to us. It is somewhat slower than what it might have been a few years back. I think that's probably related to the relatively good results the industry in general is posting. But we have continued to talk to a number of companies. It is, as you know, a long-term process. We're still very active in talking to mutual companies, particularly, because we have been successful in doing some mutual company affiliations. That is our primary focus. But nothing currently eminent or -- the pipeline, as you would understand, is something we continue to build. And those efforts tend to take some time before they materialize.
Don Nikolaus: Meyer, just let me add that it continues to be one of our key business strategies and as we have said in the past, it has to be the right acquisition or affiliation. You don't just want to do it for the sake of doing it. But it is clearly on our radar.
Operator: [Operator Instructions]
Kevin Burke: While we're waiting to see if there are other questions, I just wanted to mention that with the hurricane Joaquin coming through the South Carolina area in October, we did not incur any significant losses from the effects of that hurricane. We're active in South Carolina, but we don't have a lot of property exposure and virtually no coastal exposure. We were glad to see that storm system head out to sea and pleased to report that we had minimal losses from that event. Weather in general has been fairly quiet in our operating regions during the last several weeks. Seeing no other questions in the queue, we thank everyone for your participation today and we will close the call Breanna, if you would like to give the closing comments.
Operator: This concludes today's conference call. You may now disconnect.
Kevin Burke: Thank you everyone.